Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Lynas Rare Earth quarter results call. [Operator Instructions] And just please be advised that today's conference is being recorded. But without further ado, I will now hand the call over to Lynas Rare Earth. Thank  you, and please go ahead.
Jennifer Parker: Good morning, and welcome to the Lynas Rare Earths Investor Briefing for the June Quarter of FY 2021. Presenting the briefing today is Amanda Lacaze, CEO. And joining Amanda on the line are Gaudenz Sturzenegger, CFO; and Sarah Leonard, Company Secretary and General Counsel. Please go ahead, Amanda.
Amanda Lacaze: Thanks, Jen. Good morning, everybody, and thank you for joining us this morning for what is really one of the most pleasing quarterly reports that I've had the opportunity to present and really not a lot to add. But I would make a few comments. And the first is that it is always our #1 objective to ensure that we keep our people safe. And never has that been more challenging than in the environment at present in Malaysia, where pandemic conditions are real and very, very difficult for everybody. I'm not really big on using superlatives in a business sense. I've had too many ski instructors tell me that my turns are awesome when, in fact, I know that they're anything but. But in this instance, I can tell you that I do sit in awe of the determination, the discipline and the resilience of particularly our Lynas Malaysia leadership team and every single member of our Malaysian team. Within an environment where infections are incredibly high and restrictions on operations are very tight, our people have kept our people safe, kept our operations safe. The leadership team has adjusted to new SOPs issued by the government quickly and efficiently with some other challenges presented as a result of the pandemic.  We've talked previously about some of the logistical challenges, particularly related to shipping in Malaysia. We've had some issues also with water as pumps have failed.  And of course, some of the challenges around movement have made it difficult for the authorities to be able to address those. Despite all of these challenges, our team has managed to keep production at just above the 75% that we've maintained through the year and continued to implement a series of initiatives that will see us continue to improve our business and continued engagement as appropriate with regulatory authorities and also with our communities. One of our most recent initiatives with our communities is one that particularly appeals to me where we made up a series of care packs, and people in the company contributed to these as well as the company itself. They had a chicken, a bag of rice and some noodles. And now I've forgotten what the fourth ingredient was. But this has meant that we've been able to put a lot of these into our community to ensure that people in the community who truly are doing it tough in Malaysia are able to continue to feed themselves and their families. Our financial results really speak for themselves. We put sort of -- our operating cash result was really exceptional based upon record sales volume -- sorry, record sales revenue and, of course, an extraordinarily positive average selling price for our materials. As noted in the report, there was a little softening of the price during the quarter, but this has recovered again during July. I'm particularly proud of our continuing strong cost control and some very good progress from our research and development teams on implementing, identifying, testing and implementing new and improved flow sheets, which will, in time, give us further reductions in cost -- in production cost. During the quarter, we've made really significant progress on our key Lynas 2025 projects. You've seen some of the photos. The overall Lynas 2025 plan includes upgrades and changes at each of our sites. And so you can see we've put some pictures in here and some of the things that we're doing at Mt Weld, and it's quite exciting actually seeing the development as we move forward at Mt Weld. In addition, we've made really significant progress on our Kalgoorlie project. And it's starting to really get to the exciting part of this project. As you can see from the photo, we've got all 5 sections of the kiln shell completed or close to completion.  And we have commenced preliminary site works on our site in Kalgoorlie, as approved by the EPA. And we're looking forward to further development of that site. In line with the Department of Defense milestones, in -- related to the Heavy Rare Earths project in the U.S., we've submitted all of the detailed engineering and design work and at present are awaiting the Department of Defense's finalization of their merit evaluation as per submission. We continue to be very actively engaged with various governments around the world who remain focused on really developing better and more diverse supply chains in this sector. And we're delighted only a couple of weeks ago to welcome members of the EU delegation in Australia and representatives of 10 of the member countries to our site at Mt Weld. And that visit was cohosted by the Governor of Western Australia, the honorable Kim Beazley, which was really just a fabulous opportunity for us to show off the value, the quality of the ore body at Mt Weld and the skills and capabilities of our team there. So a really excellent quarter. Just really delighted to be able to report this to our shareholders, many of whom have held our hands tightly through the years when we had a different set of challenges. And we look forward to continuing to deliver excellent results from our business. So with that, I'm happy to take questions.
Operator: [Operator Instructions] Our first question today comes from the line of Jack Gabb.
Operator: We've got another question from the line of Daniel Morgan.
Operator: Your next question comes from the line of Reg Spencer.
Operator: Your next question comes from the line of Trent Allen.
Operator: Your next question just comes from the line of Dylan Kelly.
Operator: [Operator Instructions] But we do have another telephone question, Amanda. I will next go to Michael Evans.
Operator: And we just have a final question now from [Jay Erlandson].
Operator: And with that, there's no further telephone questions. So for now, I'll hand back to Lynas Rare Earth.
Amanda Lacaze: Okay. Well, look, once again, thank you, everybody, for joining today. It really was a pleasure to be able to present such an excellent quarter. And I look forward to engaging with you all again when we release our annual results in about a month's time.
Operator: Ladies and gentlemen, that does conclude today's conference call. But once again, thank you all for participating today. But you may now all disconnect. Thank you.